Operator: Greetings and welcome to Jerash Holdings' Financial Results for Fiscal 2022 First Quarter Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder this conference is being recorded. It is now my pleasure to introduce your host Roger Pondel, Investor Relations for Jerash Holdings. Thank you sir, you may begin.
Roger Pondel: Thank you operator, and good morning everyone. Welcome to the Jerash Holdings fiscal 2022 first quarter conference call. I'm Roger Pondel with PondelWilkinson, Jerash Holdings' Investor Relations firm. It will be my pleasure momentarily to introduce the company's Chairman and Chief Executive Officer, Sam Choi; it's Chief Financial Officer, Gilbert Lee; and Eric Tang, who leads the company's operations direct from Jordan. Before I turn the call over to Sam, I want to remind all listeners that today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous conditions, many of which are beyond the company's control, including those set forth in the risk factor section of the company's most recent Form 10-K and Form 10-Q as filed with the Securities and Exchange Commission, copies of which are available on the SEC's website at www.sec.gov along with other company filings made with the SEC from time to time. Actual results could differ materially from these forward-looking statements and Jerash Holdings undertakes no obligation to update any forward-looking statements except as required by law. And with that, it is my pleasure to turn the call over to Sam Choi. Sam?
Choi Lin Hung: Thank you Roger and hello everyone. Our fiscal 2022 first quarter results demonstrate excellent progress. Revenue was at a record level for first quarter. We're tracking robust shipments to our largest customers as a result of strong demand amid the reopening of the U.S. economy. Gross profit also represents a record for the first quarter, primarily due to higher revenue and gross margin performance. Our gross margin continued to run in the high teens reflecting increased shipment volumes and an improved product mix in the first quarter. Our robust momentum is continuing further into fiscal 2022 with orders for the first nine months of the year that we believe will lead to a revenue run rate for a year that would exceed our prior record. As a result, we have increased our revenue outlook for the full year which Gilbert will discuss shortly.  We continued to advance plans to increase capacity in our existing facilities and secure additional capacity to meet our customer's demands both by building new facilities and through leases and acquisitions. We recently announced the signing of definitive agreements to acquire both the operator of about 71,000 square feet manufacturing facility in Amman, Jordan and relay the physical premises. We expect to close this acquisition soon. Eric will provide more details in a moment.  I will now turn the call over to Eric Tang who is based in Jordan and then to Gilbert Lee who will cover our financial results. Eric. 
Eric Tang: Thank you Sam, hello everyone. Our factories in Georgia is extremely busy and we continue to add capacity as quickly as we can. All the volumes are up substantively and customers have returned to more typical ordering patterns. As anticipated, our product mix improved in the first quarter leading to orders of higher average selling prices and margins that we saw in the last fiscal year. Moreover, this positive momentum is continuing. Capacity is completely booked through the end of January 2022 based on orders from our four largest global brand customers alone.  Bookings remained heavily weighted towards jacket and other outerwear products that have higher ASP and margins. As Sam mentioned we recently signed agreements to expand our manufacturing capacity in Jordan. This particular acquisition is in two stages. First, we signed an agreement to acquire the operating company of 71,000 square foot apparel manufacturing plant. Under the terms of the first agreement, Jerash assumes the manufacturing licenses and existing physical operations including all machinery equipment, 500 workers and employees, and the dormitory. We have taken over production at the new facility as of August 1st and we have begun manufacturing products for our customers. However, because the seller has yet to complete production for its primary orders, we are allowing them to temporarily maintain one production line which in turn has delayed form of closing of the first part of the acquisition until September.  Second, we signed a separate agreement to acquire the land at the building that housed the apparel manufacturing operations. We expect this part of the deal to close in November 2021. The new facility is expected to enable Jerash to produce approximately 2.5 million to 3.5 million additional garments per year adding approximately 20% to our current annual capacity. In addition, the facility gives us the ability to scale up even further. Customers already are placing orders that are expected to fully book the new factory through January 2022. As mentioned last quarter we began the construction of a high quality living space for expanding multi-national work force with the highest safety and comfort designs that will help position us for growth and further our ESG goals.  Finally, we recently announced plans to double worker capacity at our facility in Al Hasa as part of a special humanitarian project with the Jordanian government that began in 2018. We are very proud of our progress on this project despite the unprecedented disruption caused by the pandemic. The facility currently employs 300 people there and we plan to increase this to 600 by end of 2021. With that I will turn the call over to Gilbert Lee to discuss our financial results and fiscal 2022 outlook. Gilbert please. 
Gilbert Lee: Thank you Eric and good morning everyone. Our fiscal 2022 first quarter revenue rose potentially to $30 million from $19 million in the same period last year, an increase of nearly 60%. The increase was primarily due to higher shipments to our largest customers in the quarter. The highest sales volume reflects stronger demand as the U.S. economy continues to recover from the pandemic. Gross margin expanded 250 basis points to 18.8% in the fiscal 2022 first quarter compared with 16.3% in the same period last year. Gross margin expansion in the quarter refracted the higher proportion of export orders which typically carry higher profit margins as well as increased production and sales volumes.  Operating expenses totaled $3.3 million in the fiscal 2022 first quarter compared with $1.9 million in the same period last year. The increase primarily reflect high tech [ph] additions to support our growth, higher shipping costs that were in proportion with increased sales volumes, and expenses related to COVID-19 precaution and recruitment of new migrant workers. Operating income was $2.3 million in the fiscal 2022 first quarter compared with $1.2 million in the same period last year. Comprehensive income attributable to Jerash’s common stockholders was 2.0 million or $0.17 per share in the first quarter compared with approximately $813,000 or $0.07 per share in the same period last year. Our balance sheet remains strong with cash and restricted cash up $9 million and net working capital of 51 million at June 30, 2021.  Inventory was $31 million and accounts receivable was 20 million. Net cash used in operating activities was $11 million in the fiscal 2022 first quarter compared with $8 million in the same period last year. The net change was primarily due to working capital activity. Inventories increased in the first quarter primarily reflecting seasonal activity and strong demand. Accounts receivable also increased in the first quarter due to strong demand, particularly in the month of June. To date we have collected more than 80% of receivables at the end of June. We continue to expect the business to generate cash from operating activities on an add new basis. We also have been granted supply chain financing programs by our major customers and an untapped $3 million line of credit available.  In terms of our fiscal 2022 outlook, we are increasing our revenue guidance to be in the range of $115 million to $120 million as strong demand continues at our capacity expense. We also anticipate revenue in the fiscal 2022 second quarter to exceed $40 million. Orders continue to be heavily weighted towards high margin jackets and other outerwear products. We expect this patent to support gross margins in the high teens for the full fiscal 2022 year. I would also like to point out that operating expenses are expected to be higher in fiscal 2022, reflecting our growth and the pandemic’s impact on last year's first half.  We also anticipate stock based compensation to be at a higher level for the rest of fiscal 2022 compared with the same period last year. While customer orders remain strong, it is important to note that potential risk from the delta variant of COVID-19 could constrain our ability to add workers needed to run our factories at full capacity. To a certain extent we already have reflected this risk in our updated outlook. We'll continue to monitor pandemic developments over the next few months, and give you an update on the next quarter's earnings call.  Our fiscal 2022 first quarter results represent a strong start to the year. This robust momentum is leading to what we believe will be a record year for the company. We look forward to keeping you apprised of our progress as the year unfolds. Lastly, our Board of Directors approved a regular quarterly dividend of $0.05 per share to our common shareholders payable on August 24, 2021, to stockholders of record as of August 17, 2021. And with that, we will now open up the call for questions. Operator, may we have the first question please.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Mark Argento with Lake Street Capital. Please proceed with your question. 
Mark Argento: Hi guys. Good morning and nice quarter. I just wanted to peel the onion a little bit on the guidance which was very strong. I had anticipated with a 20% plus capacity expansion through the acquisition that that would take maybe a little bit longer to come online. Maybe you could talk about what you're seeing that gives you the comfort and confidence to guide as strong as you did that you have here in terms of onboarding that additional capacity? And then secondly, maybe you could just talk about your overall order book and are you guys -- do you have more orders than you do capacity at this point and is there anything additionally to do in terms of maybe leasing some additional space as well? Thanks. 
Choi Lin Hung: Thank you, Mark. First of all, I think we are trying to be conservative because there are still a lot of uncertainties all over the world with the pandemic still going on in various parts of Asia in particular with the delta variance. We're right now facing some challenges in bringing in additional migrant workers from Asia, even though we're working very closely with Jordanian government and we see some very promising opportunities. However, we don't want to over expand ourselves. We do have orders from our major customers that far exceed the projection but we just want to make sure that we have the ability to produce and to ship throughout this fiscal year. But yeah, but we are confident with our capacity and with our ability that we will be able to fulfill this $120 million in revenue. 
Mark Argento: In terms of terms of the mix of that incremental revenue, is it going to be more outerwear, maybe give us a little bit of an idea of how you think about the mix, is it going to look mostly the same, just another incremental $15 million to $20 million in revenue or is it going to change materially? 
Choi Lin Hung: Well, I think the additional revenue or the increase in the revenue is going to be highly concentrated in outerwear because that's our intention. Even though the new facility, the new workers, they probably need some time to be trained to manufacture our products, especially those for our premium customers. Those are rather complex products. So, we started out the new factory by producing some of the lower margin or more simple products such as T-shirts and polo shirts. And just to use that to get them acclimated to our processes. And once that is done and we anticipate that maybe after this fiscal -- after this fiscal quarter, we should be able to convert them into producing the outerwear of the jackets. So -- and also we're working on expanding our a satellite facility in Al Hasa into making jackets. So we're hiring more people in Al Hasa and training them and converting that facility into producing some higher margin high ASP products. 
Mark Argento: And then just last question from me, the new facility that you guys are purchasing or have purchased, is that in the same complex as your current facilities, of course Al Hasa is outside but within Oman area there in the current campus? 
Choi Lin Hung: Yes, the new facility that we purchased is in Oman. Eric, is it in the same industrial park or industrial… 
Eric Tang: Yes, based on the location it is situated in the same industrial city, which the Jerash main factory is situated. And from walking this -- for walking distance from Jerash’s main factory to this new facility is only around five minutes by walking. 
Mark Argento: Great. Alright, guys appreciate it. Congrats on a strong quarter. 
Choi Lin Hung: Thank you very much. 
Eric Tang: Thank you, Mark. And also thank you for all the long time support of the company. 
Operator: Our next question comes from the line of Rommel Dionisio with Aegis Capital. Please proceed with your question. 
Rommel Dionisio: Good morning. Thanks for taking my question. On, we hear so much about increased freight expense around the world as well as raw materials, relative is a little less applicable to you. But I wonder if you could just talk about the impact -- potential impact that you're seeing in gross margins, if you're seeing any delays especially on the shipment front, we definitely hear about there is some challenges in the world of global freight? Thank you. 
Choi Lin Hung: Thank you, Rommel. Well, there are some challenges especially on the incoming freight, on the incoming shipment from Asia for our raw material and supplies. And however, because we're working with global brand customers, they are very understanding. And if that -- if there is any delay from raw material, they wouldn't penalize us or they wouldn't complain. They understand. And if the increase in raw material costs or the inbound freight, most of the time they will reflect in the order on the prices to accommodate for that. Can you confirm that Eric? 
Eric Tang: Yes. Recently -- okay, we faced some problems. So, I cannot say a lot of problems but some programs in the incoming contingents especially from Southeast Asia countries like Vietnam, like Taiwan, such countries. Because they have -- they have been locked down recently. So, unfortunately okay, some of the orders [indiscernible] from Northeast they are also from this country. The fabric mail order is also from these countries. But, this fabric mill which is situated in Vietnam and Taiwan are the normalated supplier by the brand. So, once we place the order, they have the responsibility to ship to Jordan on time in order that we can deliver on time. So nowadays because of the lockdown, the shipment came in late for one month or two months. And the brand understand very much it is not the responsibility of a manufacturer in Jerash. This is the responsibility of the fabric mill. And so the brand is very willing to grant us extension of the delivery for one or two months according to the delay of the container. And sometimes some of the garments they may need to reach U.S. soil by end of November, because they have a big Christmas sale at the time. So they will ask to us to air freight some of the garments to U.S. on the cost of the brand, this is the situation. 
Rommel Dionisio: Thank you Eric and Gilbert. Maybe just a follow-up, Gilbert, I think in the prior question you talked about the potential challenges if delta variant in terms of importing labor, but you obviously have significant labor base in Jordan, domestic labor as well. And I wonder if you could just refresh our memories on the availability of that, is there plenty -- in the event that you have difficulties importing labor from some of the Asian countries, to what extent you can just simply rely on domestic labor within Jordan itself? Thanks. 
Gilbert Lee: Yeah, we're actually trying to hire more domestic labor or local labors in Jordan. So, on one hand, we're working on importing more labor from -- or more workers from Asian countries such as India and Bangladesh. But we all know that those two countries right now are kind of in the lockdown and we don't know how successful that would be. But at the same time, we're comparing to other manufacturers in Jordan. We already have a significant advantage because we already have quite a bit of foreign workers working for us and we have very good reputation and we have very good relationship with the government and they are helping us or they are trying as much as they could to help us get those workers, qualified and imported into Jordan. So that, but however, the pandemic nobody can control it. So, we do put a little bit of conservatism in our projection just because of that. But at the same time, we are working very hard to recruit local workers Jordanians, even Syrian refugees who are residing in refugee camps and we provide those workers because they don't have transportation and they live about an hour away from our factory in refugees camps. And they couldn't leave the camp to live in our dormitory because they were not allowed. So, we provide them transportation every day with buses to transport them to our facility to work and bring them back home. So those are the kind of things that we are working on to make sure that we have sufficient workers to satisfy our demand or our increase in production volume. 
Rommel Dionisio: Okay, that's very helpful. And congratulations on the quarter. Thank you. 
Gilbert Lee: Thank you Rommel.
Operator: Our next question comes from Michael Woo, a Private Investor. Please proceed with your question. 
Michael Woo: Hi, just wanted to ask a question about [indiscernible] full year to order from North Face? 
Gilbert Lee: Hello, Michael. Yes, we do have orders from the North Face for the whole year. And the order amount really actually exceeds our capacity or our projection because they place orders, we may or may not be able to fulfill all the orders. But the North Face have been working with us for six or seven years and almost every year they would place orders more than we could supply them. And they are very understanding. They know and they keep increasing the demand for us to produce. It's just that even though we keep increasing our capacity, our productivity, there is always increasing demand from the Northeast. But we do have rolling twelve months orders from the North Face from new balance from the field of the other global brand customers. 
Michael Woo: Could you just give me just more rough idea. So, I mean last year it is around I mean like more than 15% West fiscal 2020. So is that like fairly to assume that you were recovered to 2020 level or at least or maybe even? 
Gilbert Lee: I'm sorry, you said last year, which is fiscal 2021. 
Michael Woo: Yes. Yeah, it was downright from… 
Gilbert Lee: Yes. And obviously, because of the global pandemic, everybody’s sales were down. And we were only down 15% from the previous fiscal year, which was $93 million and last year, we were at $90 million because in the second half of the last fiscal year, we basically fully recovered from the pandemic. The first half, it was down quite a bit. But the second half, we were almost at the same level as the previous fiscal year. So that rebound, I'm sorry… 
Michael Woo: I'm asking about only about the North Face order. It's not about the whole company. So 2020 you -- the -- from North Face is around $72 million dollars, right, so last year is 56, so I was asking maybe the North Face order would be recovered through 2020 or what do you have, any idea? 
Gilbert Lee: I don't have the numbers in front of me, but I could tell you North Face order... 
Choi Lin Hung: Sorry, Gilbert can I answer this question. 
Gilbert Lee: Yes, please. 
Eric Tang: So, because -- okay, you're asking about North Face order, the figure, okay. The North Face orders we are increasing almost every month at the request of the customer. As of today, in dollar, we have already confirmed orders with North Face more than $75 million.
Michael Woo: That's great. Yeah, that's exactly what I want to know. 
Gilbert Lee: So I think the figures were still going up, okay as we only started two quarter. 
Michael Woo: Okay. So maybe will be -- you guys -- maybe you will get more orders, right? 
Eric Tang: Yes. Yes. Sure. 
Michael Woo: Okay, that's great. Second one is how about the new balance, any update, any trend like from [indiscernible] from them? 
Gilbert Lee: The new balance compares with the fiscal 2021. This year, we are also I mean increased -- the customer is also increasing the order around 20% compared with last year. 
Operator: [Operator Instructions]. Our next question comes from the line of Barry Pasternack, a Private Investor. Please proceed with your question. 
Barry Pasternack: Hey guys. Congratulations on the quarter, the guidance, and the acquisition. I was wondering on the acquisition, how much of a temporary gross margin impact should we expect this fiscal year from digesting the acquisitions or on the revenue coming from the acquisition from the factory? 
Choi Lin Hung: For the new acquisition, we… 
Barry Pasternack: Yeah, will there be yeah, I'm sorry. Go ahead. 
Choi Lin Hung: The new capacity, you're talking about the facility that we just acquired in August. So this one there's already 500 workers and obviously, within in the first six months, we need to get the workers kind of trained and converted into manufacturing our products. Previously, they were manufacturing jeans for their customers. But now we're turning them into manufacturing our kinds of garment which is apparel for sports, sporting apparels, and also outerwear jackets. So it will take some time for them to get trained and get acclimated with our system. So we expect the first six months to be a little bit kind of maybe not as profitable, but we will train them first on some of the orders that are less expensive, less complicated, and over time they'll be able to do sustained kind of products and at the same productivity and efficiency as all our other factories and all our other workers. So, I would say the first six months it will have somewhat of a negative impact to our overall gross margin. But we will just have a see and we did because of the mix that we put into this factory. But putting all our other factories into manufacturing the higher premium, higher gross margin products, we think the impact would not be very significant. 
Barry Pasternack: So, in other… 
Choi Lin Hung: Does it answer your question? 
Barry Pasternack: Yes. In other words, the impact on the total company gross margin will be part -- at least partly offset by higher margin product being produced in the existing factories. And so there shouldn't be would you say more than like a 50 basis point, I mean 50 basis points or less gross margin impact during the six months from the acquisition, would that be a fair assessment or…?
Gilbert Lee: I would say it will be anywhere between 50 to 100 basis points from the overall, because right now, we have 5000 workers in total in Jordan and 500 workers in the new facility. So if we mix all the products together, I think the impact probably would not be more than 100 basis points. 
Barry Pasternack: Okay, great. And on the four largest customers you referenced earlier, are those all existing customer from last year or is there a new customer in there? 
Gilbert Lee: Yes, they are all existing customers from last year, which new balance in American eagles were new customers last year. 
Barry Pasternack: Okay. And is there also a new customer this year that that you've have started shipping to that is not in the top four, but has the potential to be say by next year? 
Choi Lin Hung: Eric, do we have any new customer in our projection.
Eric Tang: We have one new customer in our projection, and this is a very big name, this is Adidas. So we have confirmed one trial order with Adidas, okay and this order is around 25,000 pieces. 
Barry Pasternack: So THEN it's very small, right? 
Eric Tang: Yes, because this is a trial order. After that the customer will give serious consideration to place the bulk order to Jerash next year. 
Barry Pasternack: Okay. Okay, great. Thank you. 
Gilbert Lee: Thank you. 
Operator: We have no further questions at this time. Mr. Choi, I would now like to turn the floor back over to you for closing comments. 
Choi Lin Hung: Okay. Thank you, operator and thanks again to everyone for joining us today. And for your support and interest in our company. We look forward to speaking with you again on our fiscal 2022 second quarter earnings call. Thank you very much. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day. 
Choi Lin Hung: Thank you. 
Gilbert Lee: Thank you.